Operator: Greetings, and welcome to the Weyerhaeuser Second Quarter 2022 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speaker’s remarks, there will be a question-and-answer session. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Andy Taylor, Vice President of Investor Relations. Thank you, Mr. Taylor, you may begin.
Andy Taylor: Thank you, Rob. Good morning, everyone. Thank you for joining us today to discuss Weyerhaeuser's second quarter 2022 earnings. This call is being webcast at www.weyerhaeuser.com. Our earnings release and presentation materials can also be found on our website. Please review the warning statements in our press release and on the presentation slides concerning the risks associated with forward-looking statements, as forward-looking statements will be made during this conference call. We will discuss non-GAAP financial measures, and a reconciliation of GAAP can be found in the earnings materials on our website. On the call this morning are Devin Stockfish, Chief Executive Officer; and David Wold, Chief Financial Officer. I will now turn the call over to Devin Stockfish.
Devin Stockfish: Thanks, Andy. Good morning, everyone, and thank you for joining us. Today, I'm very pleased to welcome David Wold to the call. David became our Chief Financial Officer in May. He previously served as our Chief Accounting Officer and brings 20 years of significant accounting, financial and strategic acumen to the CFO role. He's demonstrated outstanding leadership since joining Weyerhaeuser in 2013, and I'm excited to have Dave on our senior leadership team and to partner with them as we execute on our long-term strategy. This morning, Weyerhaeuser reported second quarter GAAP earnings of $788 million or $1.06 per diluted share on net sales of $3 billion. Adjusted EBITDA totaled $1.2 billion in the second quarter. We delivered strong results across each of our businesses, and I'd like to thank our teams for their exceptional work and continued focus as we continue to navigate dynamic market conditions. Through their collective efforts, we've generated year-to-date adjusted EBITDA of $2.7 billion, our strongest first half EBITDA results on record. Turning now to our second quarter business results, I'll begin the discussion with Timberlands on Pages 6 through 9 of our earnings slides. Timberlands contributed $153 million to second quarter earnings. Adjusted EBITDA totaled $219 million, a decrease of $28 million from the prior quarter. In the West, adjusted EBITDA decreased by $21 million compared to the first quarter. Western domestic log market softened slightly in the second quarter as mill inventories recovered at the outset of the quarter and lumber prices declined considerably from elevated levels earlier in the year. As a result, our second quarter domestic log sales realizations were moderately lower compared to the first quarter, but remained high relative to historical pricing levels. While log supply in the Western system was ample at the outset of the quarter, it became constrained by unseasonably wet weather as the quarter progressed, which drove mill inventories to below target levels by quarter end, particularly in Oregon. These adverse weather conditions resulted in a moderate reduction in our fee harvest volumes compared to the first quarter. Forestry and road costs were seasonally higher, and per unit log and haul costs increased significantly in the second quarter as we transition into higher elevation logging units. Turning to our export markets. In Japan, demand for our logs remained strong in the second quarter. Lumber imports from Europe into Japan continue to be restricted by ongoing global shipping challenges for most of the quarter. This dynamic continued to drive increased market share for our customers and robust demand for our logs. As a result, our Japanese sales realizations were moderately higher compared to the first quarter. Our sales volumes increased significantly, resulting from strong demand and timing of ships. In China, log inventories at the ports declined slightly in the second quarter, resulting from improved takeaway as pandemic-related lockdowns started to ease. Imports of lumber and logs into China continue to be limited by global logistical challenges and port congestion. Additionally, log supply into China continues to be impacted by restrictions on Australian logs, Russia's recent ban of log exports to China and disruptions of European wood flow resulting from the Russia-Ukraine conflict. As a result, demand for our Western logs remained favorable in the quarter, and our sales realizations for China export logs increased moderately. Our sales volumes to China, however, decreased significantly as we continue to intentionally shift volume to the domestic market to support our domestic customers and capitalize on favorable margin opportunities. Moving to the South, Southern Timberlands adjusted EBITDA decreased by $5 million compared to the first quarter. Notwithstanding weakening lumber and OSB pricing and a seasonal increase in log supply. Southern sawlog markets remained favorable during the second quarter as mills maintained elevated inventories to mitigate risks from ongoing transportation challenges. Fiber markets experienced a similar dynamic. As a result, our sales realizations increased slightly compared to the first quarter. Our fee harvest volumes were moderately higher as seasonal weather patterns transitioned to drier conditions. Forestry and road costs were seasonably higher and per unit log and haul costs increased significantly, primarily for fuel-related costs. Turning to our Southern export business. Our log exports to China remain temporarily paused due to the new phytosanitary regulations on pine logs put in place last year by Chinese regulators. We remain optimistic that this headwind for pine exports to China will be transitory and still maintain a constructive longer-term outlook for our Southern export business to that market. In the meantime, we continue to redirect logs to domestic mills in the U.S. South and look to grow our India export market. In the North, adjusted EBITDA decreased by $2 million compared to the first quarter due to significantly lower sales volumes associated with seasonal spring breakup conditions, partially offset by significantly higher sales realizations for most products. Turning to real estate, energy and natural resources on Pages 10 and 11, real estate and ENR contributed $65 million to second quarter earnings and $107 million to adjusted EBITDA. Second quarter adjusted EBITDA was $9 million lower than the first quarter, primarily due to the timing and mix of properties sold, but was $16 million higher than a year ago quarter. Notwithstanding the recent macroeconomic headwinds, we continue to capitalize on favorable demand for HBU properties, as buyers seek the safety of hard assets in an inflationary environment, resulting in high-value transactions with significant premiums to timber value. Now for a brief comment on Natural Climate Solutions. Following our announced agreement with Oxy Low Carbon Ventures in March for our first carbon capture and storage project in Louisiana, we continue to advance discussions with high-quality developers as this market continues to emerge. Additionally, we continue to make progress on our forest carbon pilot project in Maine and are working towards project approval by year-end. Moving to Wood Products on Pages 12 through 14. Wood Products contributed $863 million to second quarter earnings and $912 of adjusted EBITDA. Compared to the first quarter, adjusted EBITDA decreased by $321 million as lumber and OSB prices declined considerably from elevated levels earlier in the year, THESE are outstanding results considering the ongoing supply chain headwinds faced by our teams in the second quarter. Starting with the lumber and OSB markets, benchmark lumber and OSB prices entered the second quarter on a downward trajectory as demand for homebuilding and repair and remodel soften and buyers remain lean inventories given uncertainty in the markets. Despite lean inventories throughout the channel, sentiment was cautious as buyers assess downside risk of elevated price levels and were reluctant to build inventories in a dynamic pricing environment. By late April, benchmark pricing for both products stabilized as buyers took steps to replenish inventories to prepare for the spring building season and in response to strong April housing starts data. This dynamic continued through mid-May, at which point, buyer sentiment once again turned cautious resulting from rapidly rising mortgage rates, housing affordability concerns and the prospects of a possible recession. This drove benchmark prices downward through late June before stabilizing at the end of the quarter as buyers reentered the market to bolster lean inventories. Despite the substantial reduction in lumber and OSB prices during the quarter, benchmark prices for both products remain elevated compared to pre-pandemic historical averages. Adjusted EBITDA for our lumber business decreased by $289 million compared to the first quarter. Our average sales realizations decreased by 25% in the second quarter, while the framing lumber composite pricing decreased by 32%. Our sales volumes increased significantly due to seasonal inventory draw downs and improved production. Log costs increased slightly, primarily for Canadian and Southern logs and unit manufacturing costs were slightly higher during the quarter. Adjusted EBITDA for our OSB business decreased by $60 million compared to the first quarter. Our average sales realization decreased by 14% in the second quarter while the OSB composite pricing decreased by 34%. This relative outperformance was largely a result of order files that lag rapidly declining OSB prices. Our sales volumes increased slightly, resulting from improved production. Unit manufacturing costs were moderately higher in the quarter and fiber costs were comparable. Engineered Wood Products adjusted EBITDA increased by $37 million compared to the first quarter and established a new quarterly EBITDA record. Sales realizations were significantly higher for most products, and we continue to benefit from previously announced price increases for solid section and I-joists products. This was partially offset by significantly higher raw material costs, primarily for OSB web stock. Production volumes were significantly higher for most products as veneer supply improved. As a result, sales volumes increased for most products in the second quarter. In Distribution, adjusted EBITDA decreased by $24 million compared to the first quarter, primarily due to lower margins resulting from the commodity price correction. The distribution team did a terrific job in managing inventories in this dynamic pricing environment. With that, I'll turn the call over to Davy to discuss some financial items and our third quarter outlook.
David Wold: Thank you, Devin, and good morning, everyone. It's a pleasure to be speaking with you all today and an honor to be serving as the CFO during such an exciting time in our company's history. I look forward to capitalizing on the opportunities in front of us and working with our incredible teams to continue driving growth for our businesses and superior long-term value for our shareholders. This morning, I will be covering key financial items and second quarter financial performance before moving into our third quarter outlook. I'll begin with key financial items, which are summarized on Page 16. We generated over $1.1 billion of cash from operations in the second quarter and more than $2.1 billion year-to-date. This represents our highest first half operating cash flow on record, surpassing the previous record established just last year. We ended the quarter with approximately $1.7 billion of cash and cash equivalents and total debt of just over $5 billion. Capital expenditures for the quarter were $81 million, which is a typical level for the second quarter. We returned $138 million to shareholders through share repurchase activity. These shares were repurchased at an average price of $36.23, and as of quarter end, we had approximately $670 million of remaining capacity under our $1 billion share repurchase program. We will continue to leverage our flexible cash return framework and look to repurchase shares opportunistically. We also returned $134 million to shareholders through the payment of our quarterly base dividend, which was increased in the first quarter by 5.9% to $0.18 per share. Adjusted funds available for distribution for the second quarter totaled $1.1 billion, as highlighted on Page 18, and we have generated over $1.9 billion of adjusted FAD year-to-date. As a reminder, we will supplement our base dividends each year with an additional return of cash to achieve the targeted annual payout of 75% to 80% of adjusted FAD. As demonstrated in 2021, we have the flexibility in our framework to return this additional cash in the form of a supplemental dividend or a combination of supplemental dividend and opportunistic share repurchase. Second quarter results for our unallocated items are summarized on Page 15. Adjusted EBITDA for this segment increased by $66 million compared to the first quarter. This increase was primarily attributable to an $18 million non-cash benefit for the elimination of intersegment profit in inventory and LIFO in the second quarter compared to a $59 million noncash charge in the prior quarter. The benefit was driven by a decrease in log and lumber inventories from elevated levels at the end of the first quarter. Key outlook items for the third quarter are presented on Page 19. In our Timberlands business, we expect third quarter earnings before special items and adjusted EBITDA will be lower than the second quarter, but moderately higher than the third quarter of 2021. Turning to our Western Timberlands operations. Domestic log demand was favorable at the outset of the third quarter, particularly in Oregon, as mills sought to bolster inventories prior to wildfire season. Log supply has improved following a period of unseasonably wet weather in the second quarter and is expected to remain elevated for the majority of the third quarter. As a result, we expect our domestic log sales realizations to be moderately lower in the third quarter, absent fire-related disruptions in the region. Forestry and road costs are expected to be seasonally higher and per unit log and haul costs are expected to be lower as fuel prices have decreased. We anticipate our fee harvest volumes will be comparable to the second quarter. Moving to the export markets. In Japan, demand for our logs is expected to soften in the third quarter due to a number of factors including a recent increase of European lumber imports into Japan and a weakening Japanese housing market. As a result, our Japanese log sales realizations are expected to decrease moderately from the second quarter, and sales volumes are expected to decrease significantly. In China, although log consumption has improved slightly as pandemic-related lockdowns have eased, log demand is expected to soften in the third quarter, resulting from elevated log inventories at the ports and a reduction in construction activity during the summer rainy season. As a result, our sales realizations on log imports into China are expected to be moderately lower compared to the second quarter. We anticipate our sales volumes will be lower as we continue to flex logs to our domestic customers to capture the highest margin. In the South, log demand in the third quarter is expected to remain stable as the mills continue to mitigate risks from ongoing transportation challenges by maintaining elevated inventories. As a result, we expect our sales realizations to be comparable to the second quarter. We anticipate our fee harvest volumes will be moderately higher in the third quarter as weather conditions remain favorable. Forestry and road costs are expected to be seasonally higher, and we anticipate comparable per unit log and haul costs. In the North, sales realizations are expected to be moderately lower due to mix. Fee harvest volumes are expected to be significantly higher compared to the second quarter as we have fully transitioned from spring breakup conditions. Turning to Real Estate, Energy and Natural Resources, consistent with prior years, we expect our real estate activity will be heavily weighted towards the first half of the year. We expect third quarter earnings and adjusted EBITDA will be slightly lower than the third quarter of 2021 due to a decrease in acres sold year-over-year. As Devin mentioned, Real Estate markets have remained strong year-to-date, and we have capitalized on strong demand and pricing for HBU properties. As a result, we are revising our guidance for full year 2022 adjusted EBITDA to $325 million, an increase of $25 million from prior guidance. Additionally, we now expect basis as a percentage of real estate sales to be 30% to 40% for the year. For our Wood Products segment, we expect third quarter earnings and adjusted EBITDA will be comparable to the second quarter, excluding the effects of changes in average sales realizations for lumber and oriented strand board. Following a substantial reduction in pricing during the second quarter, benchmark prices for lumber and OSB entered the third quarter having stabilized as buyers reentered the market to bolster lean inventories. This dynamic continued throughout July, resulting in a steady increase in benchmark prices for both products. As shown on Page 21, for both lumber and OSB, our current and quarter-to-date realizations are significantly lower than the second quarter averages. For our lumber business, we expect comparable sales volumes in the third quarter and moderately lower log costs. Unit manufacturing costs are expected to be comparable. For our oriented strand board business, we expect slightly lower sales volumes and significantly higher unit manufacturing costs due to planned annual maintenance outages. Fiber costs are expected to be comparable. For our engineered wood products business, we expect significantly lower raw material costs, primarily for OSB web stock. We anticipate this will be partially offset by lower sales realizations, primarily for plywood products. Sales realizations for our solid section and I-joist products are expected to be comparable. Our sales volumes are expected to be comparable to the second quarter and unit manufacturing costs will be slightly higher as a result of planned annual maintenance outages in the third quarter. For our distribution business, we are expecting adjusted EBITDA to be lower than the second quarter due to lower sales realizations for most products. I'll wrap up with a few additional comments on our total company financial items, all of which are summarized in our full year 2022 outlook update on Page 20. As a result of the debt refinancing transactions executed in the first quarter, we now expect our full year interest expense to be $275 million, a $30 million decrease from prior guidance. Each year in the second quarter, we finalize prior year-end estimates for pension assets and liabilities. As a result, we recorded a $67 million improvement in our net funded status as well as a reduction in our noncash, non-operating pension and post-employment expense. Finally, we now anticipate our full year outlook for capital expenditures to be $460 million due primarily to the acceleration of equipment orders with extended lead times for future planned capital projects. There is no change to our previously announced multiyear guidance of $420 million to $440 million of annual capital expenditures for 2023 through 2025. With that, I'll now turn the call back to Devin, and I look forward to your questions.
Devin Stockfish: Thanks, Dave. Before wrapping up this morning, I'll make a few comments on the housing and repair and remodel markets. Second quarter housing starts averaged 1.65 million units on a seasonally adjusted basis, a 4% reduction compared to the first quarter. While April housing starts reached the highest monthly level since 2006, activity softened as the quarter progressed. Housing permits in the second quarter averaged 1.73 million units, a 7% reduction compared to the quarter. As we look out at the rest of the year, we do expect some softening in residential construction relative to earlier in the year, primarily as a result of the rapid increase in mortgage rates, ongoing housing affordability concerns, high inflation and concerns over a possible recession. We've already started seeing impacts from these headwinds with the reduction in new and existing home sales in recent months and through the most recent homebuilder sentiment data. However, as always, context is important. To that end, I would note that we are still expecting housing starts and demand for wood products to be above pre-pandemic levels in 2022 despite these near-term challenges. Homebuilders have a significant backlog of houses to complete and we expect this backlog will support construction activity in the back half of 2022. And importantly, we remain constructive longer term on housing demand fundamentals given favorable demographic trends of significantly under-built housing stock, a healthy labor market and solid household balance sheets. Turning to repair and remodel, where activity remained fairly stable quarter-over-quarter and continue to be supported by favorable demand from the professional segment. Demand from the do-it-yourself segment softened slightly in the second quarter as consumer sentiment turned cautious resulting from the recent macro uncertainties. That said, as the housing market enters a period of relative softening, this should result in more people remaining in their existing homes. And with healthy household balance sheets favorable home equity and an aging housing stock, we continue to expect steady demand from the repair and remodel segment with activity above pre-pandemic levels. In closing, our teams are delivering strong operational and financial results. Year-to-date, we've generated $2.7 billion of adjusted EBITDA and $1.9 billion of adjusted funds available for distribution. Looking forward, we remain constructive on long-term demand fundamentals that support our businesses, notwithstanding the recent macroeconomic headwinds. Our financial position is exceptionally strong and we remain committed to serving our customers and delivering industry-leading operating performance across our businesses. We are very well positioned to navigate these dynamic market conditions and to generate long-term value for our shareholders. And with that, I think we can open it up for questions.
Operator: [Operator Instructions] our first question comes from George Staphos with Bank of America. Please proceed with your question.
George Staphos: Three questions for me, and I'll turn it over. And congratulations again, Dave. First off, on the acceleration of equipment with extended lead times, just trying to get at what exactly is happening that you're now able to accelerate the -- it sounds like the deliveries on machinery where there had been an extended lead time is something happening in the supply chain where that's improving? Secondly, again, related to wood, is there anything out of the ordinary with the maintenance you're doing in OSB in the third quarter, if you could talk about what's going to be going on at the mills that we should be aware of if there's any way to sort of quantify what the production loss might be? And then lastly, can you give us a quick update on Maine, where you stand now with the stage gating in terms of the audits and certification. I know you said you want to be ready by the end of the year, but if you can sort of fill in a little bit more color there, that would be great? Good luck in the quarter.
Devin Stockfish: Yes. Well, thanks, George. Well, first, on the CapEx, really, it's just a function of what we're seeing in the market right now is extended lead time for pretty much all equipment. So this incremental $20 is just really a reflection of our view you need to get into the queue so that you can manage efficiently these longer-term capital projects. So, it's really -- it's not that things are getting better. It's just an acknowledgment that the time line for getting equipment is a bit extended. So in order to get in the queue, you can put down your deposits now, and that just will make for a more efficient and effective flow of projects over the next 18 to 24 months. On the OSB side, really nothing to say there other than just each OSB mill has maintenance that we do. It's the typical annual maintenance. From a dimension standpoint, probably $5 million to $10 million in terms of lost production quarter-over-quarter.
George Staphos: And then lastly on Maine.
Devin Stockfish: Yes. And on main, thanks. So it's progressing as expected. We're working with the third-party certifiers, still expect to get it approved by the end of the year. So, it's really progressing in accordance with our schedule, and we're pleased with the progress.
Operator: Our next question is from Susan Maklari with Goldman Sachs. Please proceed with your question.
Susan Maklari: Let me offer my congrats to Davy as well. Good to have you on the call.
David Wold: Thank you. Great to be here.
Susan Maklari: My first question is, obviously, housing has been a key topic as we've gone through the quarter. And with a lot of the homebuilders starting to prepare their businesses just sort of guide their businesses to a more normalized sort of pre-COVID sales pace for next year. How are you thinking about your business? How it's sized to that level of activity? And where inventories are today and how you're preparing for something like that?
Devin Stockfish: Yes. Well, great question. Obviously, there's been a lot of commentary around what's going on with the housing market. We can get into that in further detail if you'd like. But certainly, I think we are seeing some slowing. As we think about heading into this period of some choppiness in the housing market, I think the key takeaway is we've been preparing our business for just this situation for a number of years. All the work that we've done around OpEx and cost control to have industry-leading performance, the work we've done to get the balance sheet in a really good place, the variable dividend structure. All of these things give us a lot of flexibility if we run into a period of softness. Now our personal view is we'll probably see some softening. I'm not sure it's going to last all that long because we still feel pretty good about the underlying fundamentals with the under-billed housing stock and all the other things we've been talking about for a number of years. But if we do see a period of softening, we'll continue to operate our business well, focus on cost, focus on OpEx and innovation to make sure that we protect our margins as much as possible and serve our customers. So we'll see what happens from a housing standpoint, but I think we're really well positioned if we do see some softening.
Susan Maklari: Yes. Okay. I appreciate that. And then can you talk a little bit about Timberland, the valuations that you're seeing there, has anything changed as the macro outlook has perhaps softened a bit in the quarter? And how you're thinking about the supply and demand dynamics there?
Devin Stockfish: Yes. If you're talking about Timberlands transactions in particular, I think the answer is no, things really haven't changed. We're still seeing very strong demand for Timberland transaction. I think you've seen that in some of the deals that have been announced lately, we're seeing very strong pricing for Timberland assets. I think that's really a function of a few different things. First of all, historically, Timberlands have been a good place to be in an inflationary environment. So there may be some of that. But I think more importantly, there's just a view that the longer-term value in Timberland assets is there. And you've seen really over the last 12 to 18 months, the values that people are paying for Timberland deals continues to go up. And I think it's just a reflection of interest in the asset class. So notwithstanding some of the choppiness we've seen and some of the uncertainty we've seen in the markets generally, that really hasn't flowed through to the Timberlands transactions.
Susan Maklari: Yes. Okay. I'm going to sneak one more in, which is you did increase amount of repurchases you did this quarter relative to what you've done in the first quarter and certainly relative to last year. Can you just talk a bit about your appetite for further repurchases given the valuation today and how you're thinking about the outlook for the business?
David Wold: Yes, Sue, you bet, this is Davy. As we've said in the past, we think about share repurchase as a useful tool to return cash to shareholders under the right circumstances, specifically when we see it as the best option for creating long-term shareholder value. So, yes, that increase to our authority of $1 billion last fall, that gives us more flexibility to buy back stock when we see good opportunities there. So, we did repurchase $138 million in Q2 at an average price of $36.23 per share, and we'll continue to look at those opportunities moving forward. We've progressed overall bigger picture against that $1 billion authorization. We've done $333 million year-to-date. So, we're -- cumulative to date since we announced that authorization. So, we're making steady progress against that. We'll continue to assess those share repurchases along with all the other options we have for cash deployment, and we'll report out on that share repurchase activity quarterly.
Operator: Our next question comes from Mark Weintraub with Seaport Research Partners. Please proceed with your question.
Mark Weintraub: Devin, if we do go through a period of softer markets in wood products because of housing, what are some of the other factors that you think might make where pricing and profitability for your business stabilize, different than maybe what it might have previously beyond some of these internal measures that you've taken, in particular, I'm thinking about high costs in BC. Is that going to be a factor do you think in the future being different than what five years ago, let's say, how things might have played out in a softer supply-demand environment?
Devin Stockfish: Yes. Absolutely, Mark. And I think really, -- so putting aside the cost side, which we've discussed a lot in the past. On the sales realization side, I do think that when you think about -- and I'll speak to lumber particularly here. When you think about where lumber prices go, there's going to be a different cost structure by geography. And we've talked about this a bit in the past, but I do think just the dynamics with fiber availability and how that's impacted the cost structure in British Columbia, I think what that means is for a pretty significant percentage of the overall lumber capacity in North America, when you get below a certain price level, it's going to be pretty hard for a lot of the mills to be cash flow positive. Now whether that's $550 million, whether that's $600 million, there's some debate there. We certainly don't have visibility into our competitors' cost structure. But we do have a mill in British Columbia that we think is a top quartile cost mill. So we do have some view on that. And I think relative to what's going on across North America, the BC cost structure is going to play into that and likely keep lumber prices in terms of a floor higher than they've been historically. And so, I think that's going to be reflected. In terms of some other -- that will be the biggest. In terms of some other issues at play, obviously, from a wood construction standpoint, our industry is always looking to increase the share of wood in building. And so even beyond single-family residential, whether you're talking multi or tall wood buildings. That's something we continue to look at a little bit around the margins with infrastructure. So there may be some other things at play that make this look a little different than the last time we had a dip in the market.
Mark Weintraub: Okay. And kind of maybe a small question, but -- so the CME is going to be launching a new futures contract. Does that -- is that going to matter for your business at all, do you think? And also, why might there not be anything for Southern Pine?
David Wold: Yes, Mark, we're aware of the new contract that's being rolled out. We'll keep an eye on it as it's introduced, although we monitor the futures market, it's not something we've used extensively given our business objectives and the volumes that have historically been traded there. And to your point on the species involved, it's possible the new contract may provide a little more volume and liquidity in the market. There may be a scenario where we'd have some use for the new contract and targeted transactions, but it's not something we'd anticipate using broadly at this point.
Devin Stockfish: And on the Southern Yellow Pine Point, Mark, I do think that's going to be down the road. They've talked about thinking about that. They're just kind of -- they're doing this one first, and they'll look at Southern Yellin down the road.
Operator: Our next question comes from Mike Roxland with Truist Securities. Please proceed with your question.
Mike Roxland: Just want to get a sense for you to what you're seeing in your order books at present, especially wood products specifically, any shortening, less committed orders, more purchases? And the reason I'm asking is, again, go back to home building, you've seen a notable pickup in the homebuilder cancellation rates. And as a result of that, you're also -- you're seeing more homes being placed in the market by billers just in one of products. So I'm wondering if what the home builders are seeing was actually trickling into your order book at present for wood products.
Devin Stockfish: Yes. We haven't really seen it happen yet. In fact, on the OSB side, I'd say our order files are pretty much normal. On the lumber side, actually, our order books are a little elevated relative to normal, so a little longer on the lumber side. And on the EWP side, we're still on full allocation. So we really haven't seen that translate into our order files. And frankly, I think part of that, too, is just inventories across channel are pretty lean. And so there's still building going on and people need product that they're -- they're just not carrying much inventory. So there's a need to cover short-term requirements at present.
George Staphos: Got you. How far do they typically the order books, in terms of line of sight.
Devin Stockfish: Yes. On OSB, normal is in the range of two to four weeks. On the lumber side, it's usually one to two weeks. And like I said, on the lumber side, we're probably on the high end of that, a little north of that. And as I said, EWP is -- that's on allocation. So it's a little different story there.
Mike Roxland: Got you. I appreciate it. One just quick follow-up -- second question. Just wondering if you could help us frame how you're thinking about harvest slowing housing demand environment? And if I think about the -- Great Recession, nothing we're headed there. But during the Great Recession, if I recall correctly, Weyerhaeuser reduced its harvest by over 30%, I think in the 2009, 2010 time frame, your peers did something similar. And as a result, post Great Recession, you had a very slowly improving housing environment. And long story short, you're dealing with a situation in the U.S. South that goes today where timber there's excess timber on this and it still hasn't been worked through fully just given the that occurred during that period of time. So I'm wondering if you can help us think about if we do get into a recession, I mean we're there right now, we're in a recession based on GDP numbers yesterday. But if it gets even more severe, how you plan to harvest to avoid a repeat of what happened during the Great Recession?
Devin Stockfish: Yes. So a couple of comments I would offer on that. I think, first of all, not that our crystal ball is perfect, but we're not expecting anything close to the Great Recession. And any sort of normal recessionary environment, I wouldn't anticipate our harvest level is really changing much. We have an integrated model. So we have internal mill customers, we manage our harvest levels to stay at sustainable levels over time. So in a normal run-of-the-mill recession, I wouldn't anticipate that really impacting our harvest levels. Now obviously, if we have a Great Recession type of event, which, again, seems pretty unlikely to us, then of course, we're going to dial in our harvest levels to match that supply to demand. But particularly given the dynamic with all of the new mills coming into the U.S. South, ultimately, even if markets soften, the U.S. South is a place where you make money really almost under any lumber pricing scenario. So, Southern mills are going to run. So I don't really have a whole lot of concern about really reducing harvest levels in the South, absent something really, really significant.
Operator: Our next question comes from Kurt Yinger with D.A. Davidson. Please proceed with your question.
Kurt Yinger: I just wanted to start off on Western log prices. I mean historically, at least the domestic market has been fairly correlated with lumber, and you talked a bit about how you expect, I guess, realizations to come in a bit during Q3, but hoping you could maybe talk a little bit more about into 2023, if we were to see lumber prices stabilize around current levels, whether you would think there might be a little bit more downside? And how -- I guess, what you're seeing in the export market factors into that as well.
Devin Stockfish: Yes. Well, great question. I think the answer is really it depends on a number of different factors. There's no question that in the West, you do see a stronger correlation between log prices and lumber prices. Obviously, a sawmill is not going to pay a log price that causes them to go cash negative. So there is definitely a correlation between log prices and lumber prices. But there are two other dynamics at play that also weigh in on that. One of which is just the very tight supply demand dynamic that's going on in the West. There's -- it's a highly tensioned wood basket. And so typically, you're going to see log prices stay pretty close to that level where mills can still make some profit. And the other piece, as you mentioned, is just the export market. That is a big market for us. We send a fair number of logs over to the Japan market and depending on domestic conditions also to China. So those three things really work in unison to set log prices. So the way I would think about it as we roll into 2023, regardless of what's going on in the economy, it's still going to be a tension wood basket. We still anticipate having good demand from our export customers. And so I think the way it will play out is you'll see log prices stay as strong as they can to still allow mills to make some level of profit. So we're still expecting a good solid market in 2023, even if you do see a little bit of a softening in the economy.
Kurt Yinger: Got it. Okay. That's helpful. And then for my second question, I mean, the contributions from the EWP business have been really exceptional over the last couple of quarters. And I guess as you kind of look out, there's a number of different crosscurrents there, right, with demand being heavily dependent on new resi construction, but the supply side at least right now is still very, very tight. Commodity prices have been quite volatile, but EWP prices are obviously have made some significant gains over the last two years. So was hoping if you could just talk a bit about how you think about the prospects for that business into 2023?
Devin Stockfish: Yes. Well, first, just a shout out to our EWP team. They're doing just a remarkable job running that business. It's been a really good run. We've had a lot of demand for EWP products. And so that's really translated into great profitability in that business. As we look forward, you're absolutely right. That product line is much more tailored to single family. And so to the extent you see some softening there, clearly, that will have some impact. But I do think just for perspective, that is a market where the supply of EWP has been pretty short, and that's resulted in a lot of shortages for our homebuilder customers. And so to some level or to some extent, there's a little bit of room just to catch up to have that supply meet demand, even if you see single-family tick down a little bit. The other thing I would just mention is during this period where there's been such a shortage of engineered wood products, you have seen builders converting into 2x10, 2x12s, open web, and so there's still some opportunity for EWP if housing softens a bit to go take some of that market share back. So absolutely, it is tied to single family, but I think even with a softening housing environment, the EWP business is still going to be pretty strong in 2023.
Operator: Our next question comes from Paul Quinn with RBC Capital Markets. Please proceed with your question.
Paul Quinn: Just a couple of questions. Just -- and welcome aboard, Davy. Just Devin, just you had performance of Wood Products in the last couple of years here. Is there any issues around your REIT test?
Devin Stockfish: No, we're in full compliance, expect to remain in full compliance, so no issues from a REIT standpoint.
Paul Quinn: Okay. And then back to the Investor Day in '21, you had wanted to grow your lumber production by about 5% annually. Is that going to happen in 2022 here?
Devin Stockfish: Yes. We are going to grow organic lumber production in 2022. I think our latest estimate is we'll be somewhere in the neighborhood of 5 billion board feet of production. And so that's along the path that we have to getting that 5% per year annual target. I will say we've got a little bit of catching up to do just because particularly in the early part of the year with all the COVID disruptions, et cetera, probably lost a little bit of production, but we're well on the way to meet that target over the multiyear period.
Paul Quinn: Okay. And then what really needs to happen to accelerate and fully develop your Natural Climate solutions initiative?
Devin Stockfish: Yes, a couple of things. I mean, one of them is just time. A lot of these efforts take time to develop, whether it's the carbon capture and storage business. We feel really, really good about the long-term prospects. But it takes time to get those signed up, get the infrastructure built, et cetera, similarly, with the forest carbon business. Solar, we're signing up lots of solar deals, but those take several years to get up and running and connect it into the grid. So part of it is just time. I think part of it is we do need to see the pricing develop. I'll give you the example of forest carbon pricing. That's been bouncing around between $10 and $15 per ton. We do think that's going to increase over time. But clearly, if we're going to flex some of our forestry into carbon markets from our historical timber markets, that has to be margin positive. So you need to see that pricing come up. I do think there's a piece of it that's regulatory in nature. And so just for example, the current bill that's being looked at in Congress right now does have some provisions that would help accelerate that, whether it's the increased tax credit from 45Q to help with carbon capture and storage, direct air capture, whether it's additional support for building out wind and solar. Those things ultimately are going to happen regardless, but I think certainly some support there from a regulatory standpoint can help accelerate that. But I feel really good about the work the team is doing, just a tremendous job across the board, whether it's wind, solar, carbon capture and storage, mitigation banking across the board. Russell and his team are building out that organization and making some really good progress.
Operator: Our next question comes from Mark Wilde with Bank of Montreal. Please proceed with your question.
Mark Wilde: Just first of all, kind of curious for both of you. It sounded to me this morning, like you're maybe toggling a little more toward kind of the potential for share repurchase activity and perhaps in light of kind of prospective weakness in the housing market and weakness in share prices. Is that fair? It just seemed like you put more emphasis on that this morning than I have ever heard in the past.
Devin Stockfish: Yes, Mark. I mean, again, I'll say we look at share repurchase as a useful tool in the right circumstance. So -- we're fortunate to have a lot of levers, whether it be M&A, investing in the business, paying down debt, base and variable dividend payments, we think share repurchase can be an important element of our capital allocation mix. A lot of it is going to depend on our ability to look at that acquisition target and the patients that we'll need as we are disciplined as we pursue those Timberland acquisitions and evaluating all the options that are available to us to create shareholder value over time.
Mark Wilde: David, would you want to put a little color on just the process that you go through as you think about sort of the value of your stock versus going out and trying to buy incremental Timberland market.
David Wold: Sure. Yes. I mean, as you'd expect, we've got a view on the intrinsic value of the Company, and that's informed by a number of factors. It's -- importantly, it's based on our long-term view of the Company. So, we've got some thoughts on that that we look at, and we're always evaluating all the opportunities available to us, and it's going to depend on the events and circumstances that are in place at the time and the opportunities that are available to us. But we'll continue to be disciplined in all of those options and weighing them opportunistically.
Mark Wilde: Okay. And then also, I guess, kind of related to this whole question here. It appears to me that sort of the increased focus on ESG has brought down the discount rates that people are using and looking at Timberland transactions. And I just -- I wonder if you agree with that based on what you've seen over the last three to five years in the Timberland market? And then if you could just give us some sense of what you think others might be using in terms of discount rate? What's implied in what you've seen in timber transactions that have been done out there.
Devin Stockfish: Yes, Mark. So a couple of thoughts here. I do think that this view, there's an ESG play embedded within Timberlands is playing into discount rates and just the overall interest in the asset class. And you can see that around the margin, certainly with some of the private equity-like capital that's coming into the space. You see JPMorgan buying Campbell. Things of that nature, I think, are very much related to ESG, carbon, natural climate solutions, those kinds of opportunities. The thing that makes it hard to really quantify the impact of that on discount rates is you're also seeing money come in from all over the globe, where the discount rates people look for in Europe are a little different maybe than you would think in the U.S. So some of that gets a little muddied, but I think you're absolutely right directionally that ESG has lowered the discount rates people are using. In terms of giving you the range, I would still say kind of 4.5 to 5.5 is normal. But that being said, we've certainly seen some transactions lately, at least from our math, that seem to be pushing those discount rates quite a bit further. And particularly when you see some non-traditional type buyers come into the market, some of those discount rates can get really low. So, I think you are seeing on balance discount rates go down a bit in some of the transactions we've seen lately.
Mark Wilde: Okay. And just finally, real quickly, Devin. I mean the last four, four, six quarters in EWP pricing, like nothing I've ever seen before effectively just look at your graph this morning, I mean the price of I-joist looks like it's essentially doubled in about 1.5 years here. Can you talk about how you think about the stickiness of those prices if we see residential housing activities slow down?
Devin Stockfish: Yes. Well, Mark, I'm probably not going to speculate on future pricing, but I will offer just a couple of directional comments on that. I think the big reason why you've seen this pricing dynamic is in a reasonably strong demand environment, there's just not enough EWP supply to go around. And so you take that, coupled with the fact that some of the input costs for EWP, so think OSB, web stock, resin, some of these other input costs have also gone up quite a bit. That's really just translated into a very strong pricing environment. And as I mentioned earlier, we're still on allocation across all of our products. Now obviously, as we go forward, this product feeds primarily into single-family, although I will say just as an aside, I do think there's lots of opportunity for EWP to find market share in commercial multifamily, some of the other focus on CLT, that kind of thing. There's more market opportunity for EWP. But even just a single family, if that goes down, that supply and demand dynamics will play out and impact pricing, but the underlying issue of EWP being in relatively short supply, unless you saw housing just fall off a cliff, I think that's more or less still going to be the case going forward.
Operator: Our next question comes from Buck Horne with Raymond James. Please proceed with your question.
Buck Horne: Appreciate squeezing me in. There's just continue to be -- seems like announcement after announcement about more expansions and new sawmill capacity coming into the U.S. South and some of which certainly have some pretty big price tags associated with that when you think about the capacity per 1,000 board feet. It seems like there's a really big disconnect right now in terms of how the private market is viewing valuations for U.S. South sawmill capacity versus kind of what's implied in the public market right now. Do you think that presents any opportunities for M&A or industry consolidation going forward?
Devin Stockfish: Yes. Well, I think I would agree with the disconnect. I think part of that has just been in the public markets. If you're trying to figure out what mid-cycle pricing looks like, that's been really challenging with the volatility across most of the Wood Products business. And I think that has led to a bit of a disconnect between that valuation. But in terms of opportunities, well, I think absolutely, whenever there's a disconnect in the value underlying value and then the way the market is otherwise seeing it, then certainly, there can be opportunities for M&A. And frankly, if we do see a little bit of a downturn, those are oftentimes the opportunities to do the best deals when you see those big value disconnect. So certainly, that's something I think everybody is watching for as we progress into the next 12 to 18 months.
Buck Horne: Okay. I appreciate those thoughts. Lastly, just for me, fire-related risks this year, has the wet weather out West really mitigated the impact for fires this year? How do you think that may shape up as we move through the summer?
Devin Stockfish: Yes. Certainly, to date, that's been the case. It was a very wet spring and summer, didn't really start in the Northwest until July 5 or 6. So I think that's really put us in a position where, from a fire risk standpoint, standing here at the end of July, we're in pretty good shape. As always, I would just say that can change, and so we will do what we always do, which is monitor this closely. We've had a pretty good track record of managing fire across our ownership. So, we'll stay on high alert. But as of today, it's definitely at a lower risk than it would ordinarily be this time of summer.
Operator: We've reached the end of the question-and-answer session. At this time, I'd like to turn the call back over to Devin Stockfish for closing comments.
Devin Stockfish: All right. Terrific. Well, thanks, everyone, for joining us this morning, and thank you for your continued interest in Weyerhaeuser. Have a great day.
Operator: This concludes today's conference. You may disconnect your lines at this time. And we thank you for your participation.